David L. Bortolussi: Good morning, everyone, and thank you for joining us today. My name is David Bortolussi. I'm the Managing Director and CEO of The a2 Milk Company. Today, I'm joined on the call by our CFO, Dave Muscat; and our business unit leaders, Kevin Bush, Eleanor Khor, Li Xiao and Yohan Senaratne. As you will have seen from this morning's announcement, we have a lot to cover on today's call. In terms of format, Dave and I will provide an overview of the company's FY '25 results. We will then move on to our supply chain transformation update and finish with our FY '26 outlook and capital management update, incorporating the transaction impacts. In the interest of time, we won't present our regional and product performance as we normally do, which is a shame as there are so many great achievements during the year that the team would like to share with you, but our business unit leaders are on the call to discuss any questions you may have in Q&A at the end. Starting on Slide 4. We reported an exceptionally strong FY '25 result today. We continue to execute our growth strategy, which has seen us deliver record sales of $1.9 billion and double-digit growth in revenue, EBITDA and EPS. We moved from a top 5 to a top 4 brand position in the China IMF market with strong growth in both English label and China label, driven by successful early-stage new user recruitment. We continue to ramp up innovation with a range of new products launched, targeting growth opportunities in the infant, kids and seniors nutrition segments as well as expanding our English label reach further into emerging markets, launching IMF in Vietnam. And lastly, as you know, we introduced a dividend policy for the first time in November, and we've now declared dividends totaling $0.20 per share for FY '25 with a payout ratio of 71%. Turning to the next slide. From humble beginnings in the year 2000 when the company was first formed in New Zealand by Corrie McLachlan, who is a scientist and his business partner, Howard Paterson, we've now grown into an international business operating in Australia, China, New Zealand, North America, South Korea and Vietnam and have a product portfolio that spans all life stages from infants to kids through to adult and now seniors. It's therefore fitting that we celebrate our 25th year since formation by acknowledging the achievements of our team today and all of those before us that have built The a2 Milk Company [ into ] what it is today, reporting record sales with growth across all of our markets and categories and announcing a major step forward in our supply chain transformation. Moving to Slide 6, which summarizes our financial results for FY '25. We delivered full year revenue growth of 13.5% with higher growth in the second half, up 16.8%. Importantly, earnings grew at a faster rate. EBITDA was up 17% and net profit after tax and EPS were up 21% with strong cash conversion. Slide 7 outlines our segment and product category performance. Our growth continues to be driven by our China and Other Asia segment, led this year by English label IMF and other nutritionals. Our ANZ segment sales were flat with growth in our Australian liquid milk business offsetting declines in the Daigou channel. Our U.S. business continued its strong growth and MVM experienced a significant increase in external ingredient sales, mainly due to higher GDT pricing and milk volumes. From a category perspective, our total IMF sales grew by 10% with English label, the standout performer, up 17%, driven by growth in our CBEC and O2O channels and a shift in the market towards English label. China label was up 3.3% with record market share, which is a very good result in a market that declined by 5.6% and having to manage supply constraints during the year. Other nutritionals continued to grow at a faster rate, up 23%, supported by new kids and seniors milk powder products launched during the year. Slide 8 lists many of the key operational highlights our team achieved during the year that supported our financial results, which are covered in more detail throughout the presentation, which unfortunately, I won't have time to go through today. Turning to Slide 9. We continue to progress our sustainability agenda with a clear road map now in place to guide us towards planet positive outcomes and net zero by 2040. Our MVM boiler conversion was almost -- has almost eliminated our Scope 1 emissions with the MVM plant now operating on 100% certified renewable energy. We've also reduced our Scope 3 emissions intensity by 1/3 since our 2021 baseline year and are proud to be part of AgriZero in New Zealand. We continue to support on-farm initiatives for the a2 Sustainability Fund, funding 19 on-farm projects to advance outcomes aligned to our sustainability goals. And packaging performance continues to improve, and we achieved a Beyond Best Practice rating by APCO this year, which we are proud of. All of these actions reflect our purpose of pioneering the future of dairy for good. Moving now to Slide 10. Pleasingly, the China IMF market has shown signs of stabilization, supported by the higher number of newborns during the Year of the Dragon last year and increased early-stage IMF demand. English label growth is outperforming China label, gaining momentum through a shift in consumer preference, product innovation, premiumization and growth in online channels. The a2 type protein category continues to grow ahead of market and brand concentration continues with the top 5 brands gaining share. Lastly, as most of you know, the China central government recently announced a subsidy program to support the cost of childcare in China. This is a positive initiative for families and the industry, which is encouraging. However, at this stage, it's too early to assess the potential impact. Turning to market share on Slide 11. Our overall China IMF market share continued to reach record levels, resulting in a2 rising to the #4 brand position in the world's largest IMF market with 8% overall market share. This is a major milestone for our company, which launched its first IMF product only 12 years ago, competing against the global leaders in the category and strong domestic players. Moving to the next slide. Today's result reflects the momentum we have built by staying disciplined in executing our growth strategy. And there remains so much opportunity for us to capture in the China IMF market and through expanding into adjacent categories in China and into new markets. Our supply chain transformation will play a critical role in enabling us to realize this opportunity, which I'll cover shortly. As you can see on Slide 13, we're tracking well towards our medium-term financial and nonfinancial goals and remain on track to achieve the majority of our targets. Moving to Slide 14. Our strong FY '25 performance has brought us much closer to our medium-term revenue ambition of $2 billion, and we have delivered a revenue CAGR of 12% since FY '21 over the past 4 years. Our English label IMF and ANZ liquid milk businesses are back on track, and our emerging market outlook has improved following the launch of IMF into Vietnam this year, which we're excited about. I'll pause there and hand over to Dave to take you through the financials in more detail.
David Muscat: Thanks, David. Good morning, everyone. I'll start on Slide 16 with a summary of our group P&L. As David has already mentioned, we delivered net sales revenue of $1.9 billion, up 13.5% on prior year. Our gross margin of 46.1% was up slightly, driven by lower IMF ingredients costs, favorable FX and the cycling of MVM accelerated depreciation, partly offset by the cost of air freight used to mitigate IMF supply constraints net of Synlait support. We continue to invest in marketing with spend up 13.7%, while maintaining a similar reinvestment rate of 17% of sales. The focus remained firmly on China, supporting new user recruitment during the Year of the Dragon and the launch of new products, including a2 Genesis. China continues to represent the majority of our marketing spend, accounting for over 90% of total marketing expenses. SG&A declined as a percentage of sales, reflecting improved operating leverage. However, it increased in absolute terms as we continue to invest in supply chain and China capability, science and innovation. This was partly offset by reduced FX losses and cost reduction initiatives. We declared a final FY '25 dividend of $0.115 per share, totaling approximately $83 million. This equates to a payout ratio of 75% of NPAT, which is to be fully franked and partially imputed. The dividend will be paid on the 3rd of October, 2025. Slide 17 and 18 summarize our segment and product performances with the key drivers covered throughout the presentation. Moving on to Slide 19. Operating cash inflows, excluding interest and tax, were $259 million, representing operating cash conversion of 95%, which was in line with guidance, but lower than FY '24. FY '25 cash conversion was lower due to one-off working capital impacts, namely: China label stock build associated with FY '25 China label GB product transition, which inflated FY '24 cash conversion; withheld payments from Synlait in FY '24 that were subsequently paid in FY '25; and more recently, a reduction in Synlait purchase order deposit payment terms that commenced in FY '25. Investing activity outflows included our additional investment in Synlait to support their recapitalization and cash flows from financing activities, including the payment of our inaugural dividend. Our closing net cash at the end of the period was $1.061 billion, up $92.2 million on 30th of June, 2024. Turning to Slide 20. Our balance sheet continued to strengthen during the year, driven by growth in our cash balance, as just outlined. Our inventory was down approximately $40 million on last year, reflecting lower IMF stock levels following stronger early-stage demand and compounded by supply constraints at Synlait in the fourth quarter. It's important to note that while a2's own stock levels dropped at the end of the last quarter, we focused on maintaining stock levels at distributors and retailers to ensure that consumer demand was met. We expect that our own stock levels will recover progressively during the year. We closed the year with higher prepayments, reflecting changes to Synlait supply terms following the dispute resolution, delays in Synlait IMF stock deliveries and increased inventory deposits as we expanded our product portfolio and strategic partner network. That concludes the FY '25 results overview. I'll hand back to David.
David L. Bortolussi: Thanks, Dave. We'll now move forward in the presentation to Slide 34 and our supply chain transformation update. I'm pleased to announce today 2 transactions that will transform our supply chain and market access, enabling us to build a better, higher-growth, lower-risk end-to-end business with significant value creation. The first transaction is the acquisition of 100% of the shares in Yashili, New Zealand, from Mengniu Group, which has a fully integrated nutritional manufacturing facility located in Pokeno, New Zealand that I'll refer to as a2 Pokeno. Importantly, it has 2 existing China label registrations and already produces 2 of our English label IMF products. The second transaction we announced today relates to the divestment of a2's 75% shareholding in China Animal Husbandry Group's 25% shareholding in MVM to Open Country. We've been working on this strategy for several years and have considered many options. I can confirm that we have -- what we have announced today is without doubt our preferred strategic and operational outcome. And before I get into the details of our transformation update, I wanted to publicly thank our a2 team, our advisers and counterparties involved in the various projects for what we have collectively achieved today. Only they know how much effort has gone into delivering this outcome, which I hope will be a positive for all of those involved. Turning to the next slide. There is a clear strategic rationale for the combined transaction. The acquisition of a2 Pokeno, firstly, provides a pathway to greater China label market access and enables strategic and operational control of product registrations and supply chain. Secondly, it supports growth in our core IMF business through access to 2 to 3 product registrations over time, enabling innovation to capture more market share than we currently can today with only China label product. Thirdly, it accelerates the development of a world-class integrated drying, blending and canning nutritional manufacturing capability, utilizing an A1 protein-free milk pool developed by Fonterra and a2 over recent years in the Waikato. Fourthly, it optimizes our asset footprint and capacity utilization through the divestment of MVM, where a2 will continue to be a commercial partner of A1 protein-free ingredients from MVM. And finally, it generates attractive financial returns through minimizing the net investment required to achieve our objectives and through accelerating vertical margin capture and China label brand contribution. On the next page, we have illustrated how the transactions deliver on various aspects of our growth strategy. We have referred to this strategic initiative as our supply chain transformation, but it is a much broader enabler of our growth strategy through market access, portfolio expansion and innovation. Turning to Slide 37, which provides a summary of the financial returns. From a headline perspective, the combined transactions will deliver an internal rate of return greater than our cost of capital, with return on invested capital achieving cost of capital in FY '29. I'll now step through each of the transactions in more detail, starting with the a2 Pokeno acquisition. Slide 39 provides a summary of the key terms of the acquisition. We are purchasing the facility for $282 million on a debt and cash-free basis. The transaction is unconditional and expected to complete on the 1st of September. Importantly, the facility is approved to produce 2 China label products, with one additional potential slot available for use, subject to regulatory approvals. We will immediately commence the amendment application process for the 2 existing China label registered products to bring them under the a2 brand, which is expected to take up to 12 months. In the unlikely event that we do not receive the necessary regulatory approvals within this time line, we have the right, but not the obligation to unwind the transaction. Slide 40 provides an overview of the a2 Pokeno facility. The facility is ideally located for milk sourcing in North Island import and export logistics. The facility has milk receiving for drying, blending, canning and warehousing capability and has a proven track record as a high-quality IMF manufacturer already producing 2 of a2 English label products being Gentle Gold, and our recently launched Genesis product. Turning to the next page. The China label registered market makes up approximately 81% of China's total IMF market. Access to the China label market is exclusively through SAMR registered product linked to approved manufacturing facilities with a limit of 3 product registrations per facility. The opportunity to increase a2's China label portfolio assists with capturing the potential for future growth in lower-tier cities, the domestic online channel and the super premium price segment where we're currently under-indexed. Further to this, as outlined on Slide 42, of the top 10 players in the China IMF market, a2 is the only brand in the top 10 with a single China label product. It's obviously challenging to capture the full potential of our brand in a large and complex market with one product. Continuing on to the next slide, the acquisition is expected to increase a2's product registrations from one to 3 in the near term, which will enable us to expand our product portfolio to develop differentiated consumer and trade propositions to drive market penetration in a way that complements our English label portfolio. Turning to Slide 44. In the short term, we will change the milk base of the existing products to our pure and natural A1 protein-free milk from New Zealand. And as previously mentioned, we will apply for regulatory approval to amend the 2 registrations to bring them under the a2 brand. The existing products fit well with our current [ 2 ] as a portfolio. Over the medium term, we have plans to reformulate and upgrade the existing products to enhance our consumer proposition, and we'll work to seek approval for a third slot, which is expected to take several years. Slide 45 provides an indicative time line for a2 Platinum in-sourcing from Synlait and the launch of our new China label products subject to regulatory approvals. The time line is indicative of the financial year in which the relevant item will occur, not necessarily beginning and ending within the time frame. Just to manage expectations, the nature and timing of product innovation is commercially sensitive. We're providing this high-level plan in the context of making a significant investment, and we'll provide milestones but not detailed updates to the market as we implement our plans. Moving to Slide 46. In addition to the initial acquisition costs, we will also invest approximately $100 million in a multiyear capital investment program to lift capability and capacity at the facility and to derisk potential future regulatory changes. This will include the installation of new services electrode boiler to reduce our environmental impact in support of our sustainability goals. We also plan to almost double the size of our team at a2 Pokeno over time, adding more than 100 new roles, providing significant development opportunities to our existing and future team members. Turning to Slide 47. Access to an A1 protein-free raw milk pool is essential to the production of a2 branded products at the newly acquired facility. To this end, we have entered into a long-term supply agreement with Fonterra for A1 protein-free raw milk from the highly regarded Waikato region in the North Island, sufficient to meet the company's needs. This leverages the milk pool we have developed together with Fonterra over recent years, provides supply flexibility and is mutually beneficial for Fonterra A1 protein-free farmer suppliers, Fonterra farmer shareholders and The a2 Milk Company. So to conclude this section of the acquisition, we are excited to secure a world-class asset to help us build our supply chain of the future and start the next chapter in our growth story. Now let's move on to the MVM divestment. Turning to Slide 49. Alongside the announcement of our agreement to acquire a2 Pokeno, we are today also announcing the divestment of MVM to optimize our asset footprint and capacity utilization whilst retaining access to high-quality A1 protein-free ingredients through a commercial supply agreement. The divestment will see full ownership of MVM transferred from a2 and China Animal Husbandry Group to Open Country. A2 is expected to receive net proceeds of approximately $100 million on a debt and cash-free basis with the divestment conditional on China Animal Husbandry Group completing the requisite China regulatory filing with completion expected to occur by the 31st of October. The company expects to recognize a non-cash loss on sale for MVM of approximately $130 million during the first half of FY '26 with MVM treated as discontinued operations until completion of the divestment. It's been a difficult decision for us to exit MVM, and we sincerely appreciate the commitment that MVM famer suppliers, our team members, the local core community and China Animal Husbandry Group have made over many years to develop the facility from a greenfield site in 2016 to what it is today. And with that, I'll now hand over to Dave to take you through the financials in a bit more detail.
David Muscat: Thanks, David. I will now take you through the key drivers of financial benefit of the combined transactions. Starting on Slide 50, the largest financial benefit resulting from these transactions in the medium term is expected to be generated through vertical margin capture, which will be achieved through the scaling of IMF manufacturing, in particular, the in-sourcing of a2 Platinum and the production of China label products. The amount of margin capture is dependent on overall facility economics, which are expected to increase as production scales over time. In order to secure these benefits, we will invest in the facility through a multiyear CapEx program and build working capital progressively over time. The facility will be loss-making in FY '26 as we build capability and capacity and integrate the facility into our supply chain. Approximately EBITDA breakeven in FY '27 before potential transition costs as we commence in-sourcing of a2 Platinum before achieving profitability in future years. Looking now at Slide 52. We also expect to benefit from China label brand contribution. The acquisition provides 2 to 3 new China label products, enabling us to expand our reach to a wider consumer base and opens a pathway to achieve greater market share over time. An expanded China label portfolio is estimated to generate incremental sales in excess of $100 million by FY '30 and an EBITDA margin of greater than or equal to 26%. As a result of the decision to divest MVM, these losses will now be avoided immediately. Slide 53 provides a pro forma summary of our financials to give a view of continuing operations, excluding MVM from our reported results. I will now hand back to David to give an overview of our FY '26 outlook and provide an update on capital management.
David L. Bortolussi: Thanks, Dave. Outlined on Slides 55 and 56 is our comprehensive FY '26 outlook statement, which we provided to help you understand changes to our reporting in FY '26 that will result from the transactions we announced today. Our FY '26 outlook is prepared on the basis that both transactions complete as expected and for the avoidance of doubt, excludes any special dividend payment. On a continuing operations basis, including a2 Pokeno and excluding MVM, we expect to achieve the following key outcomes: revenue growth of high single-digit percent versus FY '25 continuing operations; EBITDA margin of approximately 15% to 16%; and net profit after tax similar to FY '25 reported of $203 million. Given the nature of the transactions, it's important to compare revenue against FY '25 continuing operations, excluding MVM's much higher ingredients revenue and earnings against FY '25 reported as we are essentially swapping one loss-making asset for another with far greater potential to create value in future years. I appreciate it's a bit complicated, but hopefully, you'll find the breakdown of FY '26 continuing operations outlook helpful on Slide 56. Again, we don't intend to provide this level of granularity going forward, but consider it important in the context of the transaction to provide additional information to the market at this time. Moving to Slide 57. The net impact of the combined transaction provides us with clarity in relation to our future capital needs. As a result, the Board intends to declare a special dividend of $300 million, subject to obtaining regulatory approvals to bring the new China label registered product under the a2 brand and completion of the MVM divestment. The special dividend is expected to be unimputed and fully franked. And finally, we reaffirm our ordinary dividend policy of 60% to 80% payout of normalized net profit after tax. That concludes the formal part of today's presentation. As a reminder, our business leaders are also on the call and available to take any questions in relation to our FY '25 operational performance. I'll now hand back to the operator for Q&A.
Operator: [Operator Instructions] Your first question today comes from Tom Kierath from Barrenjoey.
Thomas Kierath: I can now see why this deal took a little while to play out. It's obviously quite complex performance. Just had a couple of questions. One, can you maybe just step us through how this acquisition or deal is different to the MVM one? Obviously, that MVM one hasn't been a great story, financially at least. But can you maybe just talk us through how you're derisking it and how it's a little different? And then two, is the way to think about it, you're spending $280 million and then investing another $220 million more. So kind of all in, you're spending $500 million. I think you're saying you get a 10%, or you're looking to get a 10% return or more. So should we think about the return from this as being more than $50 million EBITDA in FY '29?
David L. Bortolussi: No problem, Tom. I'll cover the first one, Dave might cover the second part. So, in terms of how it's different to MVM, I mean, the MVM acquisition at the time made sense, but in a very different context. And what happened subsequently was that we were constrained in our ability to transition any material volume from Synlait to the MVM facility for base powder production because of exclusivity commitments that were removed back in September last year. We were -- also it was difficult for us to execute the blending and canning investment required to support the longer term SAMR registration process through not having confidence in the utilization of the facility and the execution of that. So where we stand today, it would have taken 5 or more years to achieve SAMR registrations at the MVM facility. The context now is quite different. So with the acquisition of the Pokeno facility, it comes immediately with 2 China label registrations and subject to regulatory approvals, we should be able to utilize those in the near term, that provides incremental growth and brand contribution from that to us. And the second aspect of that is the vertical margin capture potential we have from what is already at the site, what we will grow in the future, but most importantly, from the transition of a2 Platinum volumes from Synlait to the Pokeno facility. So the context is quite different, Tom. And then from an execution point of view, we don't underestimate the challenges involved in manufacturing infant formula, but we have -- we get confidence by the fact that the facility and the team have operated at scale in infant in the past, that we have developed 2 products there already with the team with Gentle Gold and the a2 Genesis products and we have more or less had the chance to try before we buy and also because of our supply chain leader, Chopin Zhang, was the former CEO of Yashili International and intimately familiar with the site as well. So I think the context is very different this time around. Made sense at the time with MVM and the growth of the company was different and well above the commitments to Synlait, but we're very confident in the economics and our execution in relation to the Pokeno acquisition. And Dave, do you want to comment on the invested capital and returns?
David Muscat: Yes. So it's a good question. So in terms of -- when we talk about the returns, the IRR, et cetera, we're looking at the $400 million net. We're looking at this on a combined basis. So if you take the $282 million purchase price on Yashili NZ to take the CapEx of approximately $100 million, take the working capital and product development cost of [ $120 million ], that gets you to $500 million, and you take off the approximately $100 million related to the proceeds from MVM to get you to $400 million. So that's how we've derived the returns on that basis.
Thomas Kierath: So it's kind of incrementally $40 million, so literally 10% times $400 million? Is that the simple math?
David Muscat: Yes. At [indiscernible], yes.
Thomas Kierath: Yes. At least.
Operator: Your next question comes from Josephine Forde from Bank of America.
Josephine Forde: Congratulations, David and the team, on the acquisition. Keen to ask you about the FY '26 guidance. Can you talk through -- there's a few moving parts there. You've got MVM losses coming out, replacing with Pokeno losses. Just want to know, does this include the benefit that you're going to get from in-sourcing Synlait gross profit benefit you'll capture there? And then perhaps can you just talk to some of the confidence you have around your capability in executing -- now becoming an IMF producer?
David Muscat: Josephine, it's Dave. I'll start. So we appreciate this is quite a complex change with an asset coming out and another asset coming in. So on Page 56 of the presentation, we did our best to try and outline the moving pieces. So if you refer to that, what we've done is provided a pro forma result for '25. So that effectively is the baseline continuing business, excluding MVM. And then we've set our guidance on the far right-hand side based on the total business going forward, the continuing business, including the assets -- the new assets that we bought. And then what we've done against that is set out the components. So hopefully, it will be as helpful as possible in terms of getting to our guidance. In terms of the -- you talked about the asset itself, we've been pretty clear in terms of what we think the financial performance of the asset will be next year, so $30 million to $35 million EBITDA loss, including $10 million to $15 million worth of transformation costs. That's embedded into our guidance. In terms of the in-sourcing benefits, they won't start to come through until FY '27 and we start to internalize the a2 Platinum production from Synlait. So -- which in effect is why the loss is $30 million to $35 million in FY '26 because we're building capacity and capability in advance of in-sourcing pretty significant volumes in FY '27. So hopefully, the way we set out on the page makes sense and happy to take any further questions. David, do you want to cover that?
David L. Bortolussi: Yes. Josephine, I'll just go on my comments that I made to Tom around execution. So things that give us confidence in our ability to execute. So firstly, the asset is a world-class asset. So it's a GEA dryer, actually similar to MVM [ drying ], blending, canning line as well. So the nature of the asset is state-of-the-art. So that's a great base to work with. In terms of -- it's not just the asset, though, it's the capability of the team. They have experience in producing scale base powders for infant formula and packaging as well. We have tested the capability of the team working together with the a2 team in developing 2 products recently. So Gentle Gold and Genesis were developed with Yashili recently, which have been successfully implemented. I mentioned that [ Zhang Ping ] used to be the CEO of Yashili International and was very familiar with the site and the team there as well. And lastly, because of the time it's taken to negotiate and execute the acquisition, we've had adequate time to prepare for our kind of transformation and implementation planning as well. And the execution time frames, which we've indicated here, are quite progressive. So it's a multiyear journey. It's not one big bang in terms of execution, and we're confident overall in terms of our ability to execute.
Josephine Forde: Great. And then maybe just one more on market share, particularly in English label, your market share came in at 19.2%. I think it was about 20.2% last year. But you've now got a new Gentle Gold and HMO products. I would have thought that your English label market share would have increased slightly. So can you just maybe talk to your market share in English label, please?
David L. Bortolussi: I'll let Yohan answer that.
Yohan Senaratne: Yes. So -- yes, you're right. So if we look at some of the market metrics on Page 27, and we look at Kantar, you can see the total English label share has come down. A few things to note. The first is for Gentle Gold, you mentioned, primarily, that's for ANZ, so for the retail market. So you can see that, I think in some of the commentary we've also mentioned that our retail sales in ANZ have grown, and that have partially offset the declines in the Daigou channel. So you can see that in our net revenue results for ANZ. The second part in terms of Gentle -- in terms of HMO, we started our major marketing push in the fourth quarter of '25, so in April. And so we're starting to see some good growth. And you can see the trajectory in CBEC on Slide 28. But unfortunately, it's not enough time for it to have a meaningful impact on the market shares, which are an MAT number. What we also note in some of the market share data sets, such as Kantar and Smart Path, is that there are some limitations in terms of sample sizing. So if you look at Kantar, one of the major discrepancies we see versus our own internal [indiscernible] sales is on O2O. So the sampling tends to bias towards Key&A cities, whereas a lot of our growth in O2O has come through what we call the long tail O2O segment, which is biased towards lower-tier cities, BCD. And so that, as a result, we believe, understates our performance in O2O as per the Kantar data. And the second thing in the Smart Path data is that, that sampling is limited to the major platforms, but it also misses out some of the emerging CBEC platforms such as TikTok. So that's the other sample size limitations for Smart Path. So when we look at the English label market data, there's no perfect data set, but what we try to do is correlate on a basis of all the different pieces of data that we can see.
David L. Bortolussi: It's a bit perplexing, like we probably have lost a little bit of share. But if you look at our growth of 17% versus the market at 12% and that our inventory positions in the trade were similar at the beginning and end of the period, it's challenging for us to reconcile all the numbers. So I understand your concern.
Josephine Forde: Congratulations again on the acquisition.
Operator: Your next question comes from Stephen Ridgewell from Craigs Investment Partners.
Stephen Ridgewell: First of all, congratulations on a good result and the acquisition and very clear and detailed disclosure. My first question just relates to supply chain. Just wanted to clarify the Mataura Valley relationship going forward. I think one of the rationales provided for retaining Mataura Valley in the last few years has been, despite those operating losses was to retain access to the organic a2 or any milk pool that's been developed in Southland. And David, as you called out, a2 will remain an important customer of Mataura Valley going forward. Will that include [indiscernible]...
David L. Bortolussi: Yes. So Stephen, our access to the organic milk pool that we have at the moment, which especially via Open Country remains in place and also our access to the broader A1 protein-free milk pool that we have developed with MVM over the years is also accessible to us on an exclusive basis. So the offtake arrangements we put in place over the longer term, we think will be beneficial to both us and Open Country. So we've secured that supply. It's what we need going forward. We may be able to make some of those products a little bit up in Pokeno over time, but it's mainly going to be focused on -- in production.
Stephen Ridgewell: And also on the acquisition, I just wanted to be clear that the planned volume transfer from Synlait, Dunsandel to Pokeno starting FY '27 is only referring to English label a2 Platinum and not China label due to SAMR restrictions? And then is there potential to transfer China label volumes over time also?
David L. Bortolussi: That's -- the first part of that is correct, Stephen. So there's no intention to move our China label volumes. In fact, that's not possible under the regulations. It's only in relation to our a2 Platinum Stages 1, 2 and 3. We've already transitioned Stage 4, which we had flexibility to do previously, which is a smaller part of the portfolio base, automated MVM impact off at [ new milk ]. So yes, no intention of -- we've tried to be very clear in the presentation today, in our disclosures that there's no intention to impact [ dietary] volumes at Synlait, but the a2 Platinum volumes will start to transition during FY '27.
Stephen Ridgewell: And then, just on the guidance for FY '26, encouraging to hear the comments on performance of Genesis with month-on-month sales growth and an interesting chart, Slide 28. I mean, can you just clarify expectations maybe for -- or company expectations for English label IMF growth in FY '26 overall? And to what extent are you expecting Genesis will be a material contributor to that growth? Any sort of steer on absolute levels of sales or that you might be expecting for FY '26 would be helpful?
David L. Bortolussi: So, our revenue growth on a continuing operations basis for next year against FY '25 continuing high single-digit growth, as I highlighted before. So we're still expecting strong growth in infant and other nutritionals in particular, to achieve that -- supporting that guidance. And within that, we're not giving specific guidance on English label and China label, but it would be fair to assume that we expect just based on momentum and current market dynamics that English label would be well ahead of China label during FY '26. And we expect Genesis will be more meaningful in FY '26, but it's going to be nowhere near to, obviously, the volume associated with a2 Platinum and the growth that will hopefully come from Platinum. So hopefully, that helps you. We're not inclined to give more specific guidance on that.
Stephen Ridgewell: And just one last one, if I'm allowed. Just the recent supply disruptions from Synlait, you've called out sort of air freight costs elevated and some difficulty in the supply chain. I mean on a net basis, has a2 essentially been compensated for those costs and disruptions by Synlait? Is that sort of net neutral in terms of the result and the guide from those supply disruptions? Or is there a net negative included in the numbers?
David L. Bortolussi: There's a net negative, but what we did call out -- I mean there's been some sort of comments in the market around the level of air freight out of New Zealand venture products. Yes, we have been air freighting in the second half and particularly in the fourth quarter. So we experienced some supply constraints in the first and fourth quarter. We've called out what air freight was in the first half. Overall, for the year, Synlait has been supportive. I won't go into the details of that. But in the spirit of our partnership, they have been supportive. And overall, the net impact of air freight over the full year is not particularly material.
Operator: Your next question comes from Adrian Allbon4 from Jarden.
Adrian Allbon: Just wondering if I could maybe focus on Slide 44. I guess the map you've given here, is this a guide to what the 2 new products would initially look like in the market? Like, for example, would you -- is that ultra -- would you be having an ultra-premium organic product, but you just swap an A1 milk with an a2 milk base?
David L. Bortolussi: So Adrian, we won't be specific about exactly what we're doing, but the underlying product formulation cannot be changed initially. We have to apply for SAMR approval over time to do that, which we will probably upgrade the products over time. So the initial change is to change the branding and put it under the a2 logo and the artwork and product branding, et cetera. So we'll change that in the packaging, et cetera, and we'll change -- obviously change the milk base from conventional to A1 protein free. A1 -- so the A1 protein-free versus conventional and organic versus conventional are not part of the GB standard. So there's flexibility around that. So we won't be more specific around that, but the intention is to utilize those 2 formulations initially under the a2 brand and then to apply for a change or upgrade of those formulations over time as well.
Adrian Allbon: Okay. Just related to this question, can you just give us a little bit more depth on what's required to effectively in-house the 2 registrations from the Synlait plant to a2?
David L. Bortolussi: Yes, sure. I mean it's quite a process. So the steps are -- first of all, we have to update our R&D plan with NPI, which then feeds into the GACC approval. Both of those steps are -- they're important steps but they're more kind of process oriented and largely procedural. Then, once the GACC application is approved and the details of that are updated, it's more a process issue. That has to be included in the SAMR application for the amendment of the registration to adapt them to what I was just talking about, putting them under the a2 brand. And that's the last step in the process, a more substantive review by SAMR and something we're very respectful of and we'll put a lot of effort into our submission in relation to that. There are precedents in the past, so it's not -- we're not breaking new ground, but we're respectful of SAMR's process in that regard. They're all sequential. That's part of the reason why it takes quite a while, and that's why we've indicated it could take up to 12 months to achieve.
Adrian Allbon: So just to summarize those steps, the first process of the NPI, which hopefully leaves you with an updated [ GAAP ], is that like a manufacturing [indiscernible], and then once you've got that, do you...
David L. Bortolussi: We're going to be very specific, we're going to change the company name to an a2 company name. We will then apply the risk management plan with NPI needs to be updated because that then goes into the GACC to China customs that goes into the application to China customs. And then, once that is approved and authorized and the certificate is available, that then feeds into our SAMR registration or amendment application. Now, in terms of preparation -- and we've already started on this, but in terms of preparation, that can run in parallel, but the actual approvals are sequential.
Adrian Allbon: Okay. I got it. Just a clarification on -- I think coming back to the first question that Tom was asking, and I think Dave provided around the incremental $40 million per annum, which is the net 400 [ ton ] of WACC. Does that include, I guess, the extra sales that are now possible with the extra China labels just so we've got the right counterfactual?
David Muscat: Yes. Good question, Adrian. Yes, it does. So I think you'll see on the slide number, but -- the slide upfront that sort of talks to the combined outcomes, it's sort of the 3 components of it. So it's the purchase of the site and the vertical margin capture, the incremental brand, China label contribution on Page 37 and the MVM divestments, all come together on a net basis to deliver those outcomes. And just from a China label perspective, the way that we think about it and the way that we sort of model it is the sort of the counterfactual if we just have the one product in market over that time compared to another 3 at Yashili and sort of the delta between the 2. And so yes, that is included as part of that.
Adrian Allbon: Okay. No, that's helpful. And I'm presuming...
David L. Bortolussi: Sorry, without trying to overcomplicate, there's also a counterfactual around MVM, but we're trying to keep it as simple as possible and focus on the sort of outflow going forward.
Adrian Allbon: I just wanted to be clear because obviously, like a lot of us will have the growth in the future. But the way the company might have been seeing that, as you've just explained is you've marked that versus only having one China label.
David L. Bortolussi: Yes, yes. And that's something -- we've been clear about this strategic imperative right back from 2021 and the need to expand our market access, et cetera. So it's always been part of our plan. So we are obviously delighted to be able to announce it today. But yes, it's a question for you and investors as to what extent you've already factored that in, in terms of the brand growth. Yes.
David Muscat: And we've tried to be as helpful as possible in providing some numbers around the returns at the factory as well sort of, as you get out to FY '30.
Operator: Your next question comes from Matt Montgomerie from Forsyth Barr.
Matt Montgomerie: Just Slide 51, this might be one for Dave Muscat. Just the $1,500 EBITDA per metric tonne number that you've put out as a target. I assume this is the anchor behind the ROIC target. I'm just trying to get a sense of -- it's very hard for us, given we don't see deals like this, what the range of outcomes is in this calculation, like all going well, are you at $1,500? I mean you've got a greater than sign there. I'm just trying to get a sense of the range of outcomes behind that if everything goes well?
David Muscat: Yes. Thanks, Matt. I mean we did a lot of diligence on the site, obviously. And a lot of it was focused on the operational financials around it, thinking about the capacity that we needed to add to the site from a workforce perspective and the shift patterns, et cetera, et cetera. There is a sort of a wide range of outcomes on this. We've sort of given greater than $1,500. Our modeling suggests it could be more than that. But we sort of want to give a realistic guide at this point in time. And as we learn more about the site, we can share more over time.
Matt Montgomerie: But is it more $1,500 or $2,000? I'm just trying to get a sense of the range of outcomes as you go through the execution path.
David Muscat: I don't think it starts with the 2. But yes, you'll have to make your own assessment on that, Matt. We can't -- we [ can't ] basically be telling you the exact number.
David L. Bortolussi: You sort of almost need to think about the gross conversion costs and more -- it's not like -- it's sort of like gross margin and you've got fixed costs -- fixed and variable costs and then the benefit of that. So you almost need to sort of model that out yourself. But anyway, we probably -- Matt, we'll probably try to be as helpful as we can. There are a range of outcomes. We wouldn't put greater than that if we thought it was circa $1,500 or less. So that will give you an indication. But we're mindful that we haven't produced implant at this scale. There's a lot of transition work to be done. We'll -- maybe we'll sort of might update that over time, just to give you a sense of how that's panning out, but that's probably a reasonable assessment [indiscernible].
Matt Montgomerie: Yes. And then just going back to Stephen's question about Synlait. Are these supply issues from Synlait impacting your '26 revenue guidance at all? Or is the air freighting that's been done, I guess, filling that void in terms of possible inventory complications?
David L. Bortolussi: Hopefully not. We did experience some constraints at the beginning and end of the year. We've continued to air freight at the moment as we get back into new season product. We're very focused on maintaining trade levels at distributors and retailers. Our own stock is at low levels, particularly in early-stage product, Stage 1 and 2, China and English label. And hopefully, we'll recover progressively, and that doesn't have an impact on our sales. So hopefully, not Matt, but we've had a few operational disruptions at Synlait and hopefully, we won't see a recurrence of that in the future.
Matt Montgomerie: Cool. I might go one more. Just on the balance sheet, David, if we sort of think about the profile of CapEx and divestment, et cetera, you're probably looking at $400 million to $500 million at least with some free cash flow generation once you get through this period. Just any comments that you can make on, I guess, where comfort levels are around the end, I guess, net cash position and possible scope for either more investment into China that you've talked about in the past or more capital management initiatives?
David L. Bortolussi: So, at the moment, like we've got roughly $1 billion of cash on the balance sheet. As I've clarified earlier in the call, the total kind of gross investment, net investment of the ambient divestment in relation to the Pokeno site is in the order of $400 million. Then we've stated our intent to declare a $300 million dividend, that's $700 million. So we're left with still excess, but we're mindful of maintaining a strong balance sheet and that we -- as the risk associated with transition and everything else and completion of the transactions occurs, there may well be scope for further distribution in time and maybe there will be some additional opportunities, but we'll make that decision with the Board in due course. But I understand the sentiment that hopefully there may be further scope of distributions. And in terms of the nature of that, if we do that, it would be in special dividends rather than a buyback, I think we've covered that territory before. And ideally fully franked out of Australia, and we're short on imputation credits in New Zealand.
Operator: Your next question comes from Phil Kimber from E&P Capital.
Phillip Kimber: Can I just -- on Slide 13, which is always really helpful, your medium-term goal targets. You've got work in progress for your CBEC share and your O2O Daigou share. And -- but then when I look at your sales momentum, the English label was up 21% in the second half. Just wondering why there still work in progress and China label isn't, even though the growth rates sort of recently would suggest you're doing a fantastic job in English label?
David L. Bortolussi: I think it goes back to what we discussed with -- Phil, with Yohan. The market share data that we see with Kantar and Smartpath for English label, it just doesn't quite align with our performance as you're indicating. So based on the reported share numbers, we'd say that's working -- it's sort of an inconsistency there. So we're not sort of declaring victory in that regard. And as I said, I think we probably have lost a little bit of share, which is kind of hard to reconcile. But given the higher growth of some of our competitors with the innovation that they've had in market a little ahead of us, we probably have lost a little bit of share like in the HMO category and other specialty categories, which have been growing rapidly. So Aptamil and Nestle have done a great job in that respect and hopefully, we'll catch up shortly. So that's why we've put a triangle and work in progress against those 2 aspects. On the other hand, in China label, even though the market has been more challenging, our growth relative to market at 3% versus market being down 5% or 6% and the robustness of the Nielsen's data in relation to that, which is the bulk of that channel, we've got more confidence in terms of our overall share growth. So anyway, that's why we've kind of rated them in that respect.
Phillip Kimber: That's helpful. And then maybe just overall, again, your second half growth rate is pretty strong and yet your guidance is high single- digit for revenue growth. Why the -- I mean, is it just conservatism because it's such a fast-changing market? It just -- it seems a little light the revenue guidance given the momentum that you're coming into the year with?
David L. Bortolussi: Well, English label performed really well, but some of that growth is from -- the U.S. was really strong. MVM was high because of GDT pricing and volumes. There are some things that may not be recurring. So we probably expect overall lower growth from our liquid milk business, which has had an amazing year this year, like in combination, 14% up between ANZ and the U.S. I think you expect liquid milk to be lower single-digits. And good growth in English label. I think China label with market conditions, I think that's going to be far more modest growth and other nutritional's should continue with high growth. So if you put all that together, I don't think our guidance is unreasonable. Of course, we'd love to achieve a better outcome, but we'll give you an update during the year.
Phillip Kimber: Right. And last one for me. Just the risks up and down around that breakeven target for the Pokeno site in FY '27. Is that -- I mean, is that really just the speed of your execution to in-source that's going to move that number around? Or -- you talk about there might be some extra transformation costs. If you can just sort of give a bit of a sense of that FY '27 target?
David L. Bortolussi: Yes. So what the main determinant will be -- the pace and extent of in-sourcing of Platinum will be the key determinant. And then we've just -- we've called out there could be some transition costs associated with that because it's going to be quite a project to move Platinum from Synlait to the Pokeno facility. So we haven't got certainty over that at the moment. We're just lagging to the market that -- we don't expect that to be that material, but we're just saying that there could well be some transition costs associated with that. But the underlying number before any kind of one-off transition costs, it's really the extent to which we transition Platinum and the timing of that in terms of balance sheet impacts as well and what's in inventory, et cetera.
Operator: Your next question comes from Richard Barwick from CLSA.
Richard Barwick: I want to just talk to you a little bit more about market share as well. I know you've had some questions, particularly on the English label. But if we take just a step back, first of all, and think about at the total market level, English label has obviously won share from Chinese label. What do you think -- or how does this play out from here? Because it would look like the drivers of that English label market share, those drivers are probably in place for 1 year or 2 more yet. So should we be thinking that English label is going to continue to take share from Chinese label?
David L. Bortolussi: Yohan, you might comment on that.
Yohan Senaratne: Yes. So I guess if you're referring to the share of English label of the total of the China market, right? If you go back to FY '20, right, it was at around 23%. At its low, it dropped to 14%. But what we've seen over the post-COVID quarter-on-quarter, you can see that number coming upwards, right? So even now for FY '25, you can see the number at 19%, but that's been increasing month-on-month. So I think that there definitely is, I guess, a consumer shift back towards English label for a few reasons. Obviously, we've got -- we're in a post-COVID environment and COVID had -- was a significant headwind on English label. But secondly, English label is still quite a value for money offer in the market relative to other infant formula offers and consumers are recognizing that absent the COVID concerns. And so what we're seeing is English label as an overall subcategory improving. Of course, the challenge for us is to keep up our market share. And what we're seeing, as David mentioned, is some of our competitors are performing better than us. So we can see that Nestle and Aptamil in particular, with some of their innovations in HMO and also in some of the specialty areas like hydrolyzed protein, have been performing quite well and gaining share. Our Genesis product is intended to try and address that and hopefully it will over time. But yes, to your point, we have seen momentum on the English label share of the total market improve quarter-on-quarter.
Richard Barwick: Okay. That's really good. And then, I guess for you guys, for a2, so what was your market share at the high watermark within English label? I'm just wondering at 19%, sort of has been bubbling around that for the last couple of years. Where can we see that arguably getting to?
Yohan Senaratne: Yes. So, if we look pre-COVID, it was around 25%. Important to note that the market composition by channel looked very different at that time versus now. So it was predominantly a Daigou model versus CBEC and the competitive set is quite different in Daigou versus CBEC, right? So you have to recognize that, that would have an impact on the market share. But in answer to your question, yes, the previous high water point was 25%.
Richard Barwick: So, I mean -- so if we look ahead though, I guess what I'm getting to is, would 25% be an achievable or a sort of pragmatic target within English label?
Yohan Senaratne: Well, I think that the competitive intensity is very different now in the channels that we operate versus what it was back in 2019. So 25% in the context of very few competitors is very different to 25% in the current market with a lot of innovation coming in from European label products, Hong Kong label products, et cetera. We'd hope to improve and 25% would be amazing, but I'm not sure that it would be achieved in the short-term. What we're more looking for is incremental improvement.
David L. Bortolussi: So our longer term goal is -- we'd love to get back to the 25%. But as Yohan said, it will take -- all going well, but it will still take some time to get that, yes.
Richard Barwick: And then where I'm going with this, if you go back all the way back to your -- I think your 2021 strategy document, David, that we talked about the $2 billion revenue. And you talked then about the margin in the teens could be higher depending on the performance of English label. So I'm just trying to pull the different pieces together now that I guess we're closer to the $2 billion of revenue and how we should be thinking about the bigger picture margin target?
David L. Bortolussi: Yes. The -- Muscat -- Yohan said, the -- it's not just the -- so the total amount of infant, which is sort of a little bit less now. Also the English label component was much higher. And within that, the Daigou channel was very high, and that was a very high gross margin and also very low cost to serve. So the -- I guess the mix of our business and margin structures and cost to serve have changed quite fundamentally since those pre-COVID times. So we -- I mean, obviously, the more English label we manage, the more the demand and supply we have, I think that it's beneficial for our margins. We'd like to see our margins increase more substantially than we've seen recently. And I think the acquisition is a great driver of that. But if we ended up with more English label and a different mix of business, that would be potentially improvement on top of that. We've also invested a lot more in our brand. We've doubled our marketing investment from $160 million to $320 million. The reinvestment rate has increased quite significantly as well. I think it was probably, from memory, 13%, 14% back then, it's now 17%. So the Daigou was a very efficient way back then in a different context to build the brand. But now we've had to double down the investment and particularly our consumer and medical trade investment to compensate for that. So it's quite -- it's a different dynamic now in terms of the shape of our business.
Operator: Your next question comes from Sam Teeger from Citi.
Sam Teeger: Well done on a good result and congrats on the Pokeno acquisition. No doubt, a lot of hard work to get this one over the line. My first question is, how are you thinking about what the transition of Platinum from Dunsandel to Pokeno will have on Synlait's stand- alone viability and their ability to deliver reliable for you in the future, given this industry is known for demand forecasting, which is inherently volatile? And I guess it goes without saying Synlait is still very important for you given they have your China license.
David L. Bortolussi: So we're very mindful of our partnership with Synlait commercially, which is obviously the most important aspect to us in terms of supply of high-quality product to us and our investment. So we're very close to them. We're mindful of the impact of this and the transition. Their Board and senior management team are aware of our plans. We've been -- not specifically, but we have been talking about the nature of this for some time. They've got actions and things that they are contemplating and working on themselves to mitigate the impact. But overall, I think for Synlait focusing on China label production at Dunsandel in their core site there, I think, hopefully, if anything, it should be favorable in terms of the nature of their supply to us and the certainty of that. Financially, we're willing to support Synlait and we always have and our contribution to the equity raise last year is indicative of that. So we're very mindful of the impact on Synlait, and we think that is manageable, but that's probably more of a question for Synlait.
Sam Teeger: Okay. And then on Pokeno, I appreciate the need to have benefits that come from greater control over your supply chain. But how do you balance that with the fact that the China label part of the market has been declining for some time now? And this also has implications on how rational the market is. We've seen some big subsidies in recent times.
David L. Bortolussi: Yes. So I think -- I mean, the China label part, the registered part of the market is, it's the vast majority of the market at 80%. We're underindexing that. So despite the fact that it is underperforming versus English label at the moment, and mind you, that was completely the opposite over the last 5 years, we still think there's a huge share gain opportunity for us to execute. But ultimately, the mix of business is not critical for us. I mean we'd like to really see our share rise in China label for the longer term. But in terms of the economics of our business, the mix between China label and English label and the utilization of the facility will still be -- largely have the same economic impact on the business. So I'm not overly concerned with that. And I think what we'd expect to see things go in cycles, right? So that shift back towards English label. I think over time we'll see China label growth improve. English label, despite the fact that there may still be more of a shift to go, I think that will stabilize over time, and we'll see a different environment perhaps in another 2 or 3 years' time.
Sam Teeger: Okay. And then just on those 2 new products on Slide 44, will these be positioned above, in line, or below your existing China label products?
David L. Bortolussi: We -- maybe I'll say around, obviously, they won't be the same positioning. You can draw your own conclusions from that. But we won't be specific on that, Sam. And there's different ways that not only from a consumer point of view that we need to think about this, it's also from a trade point of view and how we optimize the distribution margin structures and incentives for the trade around execution as well. So we've got our own strong hypothesis that we're planning towards that will kind of get refined over time as we bring these products to market. But we've conceptually indicated that they'll be around our J2 product. And we think the underlying nature of the products and the formulations kind of work well to complement J2, which is our hero brand in the China label category. You should think of these as be more -- obviously more incremental and this is in more volume in J2. So it's nowhere near as material as that certainly in the short to medium-term.
Operator: Your next question comes from Marcus Curley from UBS.
Marcus Curley: I just wondered if you can give a little bit more color around the $100 million -- or sorry, I should say, greater than $100 million worth of sales in FY '30 in terms of your market share assumptions or your store count assumptions or anything you can provide there would be useful?
David L. Bortolussi: Yes, we haven't -- we weren't thinking about -- a bit commercially sensitive, Marcus. I think we weren't thinking about providing much more information on that. I mean this is more than -- I mean we're sort of reluctant to be providing this much information at this stage. But in the context of a large acquisition, we thought we needed to explain how this would all work. But it's not -- I mean, obviously, J2 is our hero brand in the China label category, broad distribution, ultra-premium price points. You can imagine these 2 products will have a slightly different role to play in the portfolio. In terms of positioning, distribution, it will be a bit different. So I probably prefer not to comment too specifically on that at this stage.
Marcus Curley: Okay. But from what you said, your -- the portfolio will reach a much larger number of stores than what it does today?
David L. Bortolussi: What I would say, though, Marcus, sorry, just building on that is that -- sorry, our number of stores now is around 30,000. So it increased incrementally during the half again. One of the key focuses for us is growth in lower-tier cities. So we're already very strong in Key&A cities, and we called that out on one of the pages. So you would expect that we want to build on our current position, but we'd also want to drive growth and penetration further into lower-tier cities, particularly B and C. I mean D is probably more challenging for us with the positioning of our brands. But you would expect to see part of this portfolio expansion playing a role in achieving that.
Marcus Curley: And we would be right in assuming that not all the products would be in all the stores?
David L. Bortolussi: Yes, correct. Yes. Nor is our J2 currently. I mean around 30,000 doors, probably maybe 75,000 to 100,000 stores. I mean our weighted distribution is 55% numeric lower. So absolutely, I mean, even our current hero brand in the category is not in full distribution.
Marcus Curley: And then on the 26% margin, I assume here, what we're seeing is potentially lower gross margin on the China label products, but offset by leverage through marketing as you layer in extra products into the same stores?
David L. Bortolussi: Yes, that's correct. And we shouldn't underestimate the scale economies and benefits that come with the production of Platinum and J2 for Synlait currently. So there -- it's one of the highest volume simplest portfolios in the world in the infant category in terms of volume. So we're now with the 2 additional China lab registrations that we will hopefully have the benefit of. I mean they're going to start to be smaller -- obviously, smaller volumes and the production economics, but [ in line with ] sort of price points and end state margin structures at scale. Initially when you start producing them, the cost of it -- of shorter runs through the dryer, shorter packaging runs, more changeovers, all that adds complexity and therefore, lower margins overall. But you're right, we will benefit from the leverage through the P&L to drive similar or more finishing EBITDA margins from the growth in those brands.
Marcus Curley: And then just finally, just going back to the results. I just wondered if you could comment on your O2O performance? Was that seeing stronger growth than what you were seeing in the broader English label category and how you're going with your partnership there?
David L. Bortolussi: Yes. Yohan, you want to answer that?
Yohan Senaratne: Yes. So Marcus, yes, we're seeing very good growth in O2O, and that's one of the key drivers of the English label performance. As we saw in the first half of '25, the biggest component of that growth has actually been in that long-tail O2O segment. So this is the smaller stores serviced by our specialist distributors via drop ship models. And that's expanding both in terms of the volume per store and also the number of stores. And so, as you mentioned, we have relationships with Europe, as an example, [ infant ], and those relationships are going very well, and we're seeing continued growth. So that's supporting the result that you can see today.
Marcus Curley: And sorry, was that right in hearing that O2O growth was ahead of the English label overall?
Yohan Senaratne: Yes. So if you look at the 3 key markets for English label, you've got O2O, you've got CBEC and you've got Daigou. Obviously, Daigou as a market was in decline. And if you look at CBEC and O2O, that was [ both at ] high growth.
David L. Bortolussi: [indiscernible] as well.
Yohan Senaratne: [indiscernible] as well. Yes.
Operator: Your next question comes from Julia de Sterke from Morgan Stanley.
Julia M de Sterke: Just 2 follow-ups. First, coming back to the in-sourcing of the English label product. Can you just provide a little bit more detail as to what exactly you need to do to the product, what you need to do to the facility by FY '27 to make that transition happen successfully?
David L. Bortolussi: I won't comment specifically on the product. But suffice to say, we obviously need to develop the base powder and blending and canning. It's -- I won't get into the details, but the manufacturing infant product is incredibly complex. It's very challenging almost sort of pharmaceutical product to manufacture. So that's on the product side. And there's nothing that we need to do really to the facility as it stands at the moment to produce English label products. The investment, because the dry is there, blending and canning operations are there. So there's everything there that we need. Our investment going forward is more for the future and providing for what we're going to need when the facility is at scale and more heavily utilized in producing China label product and adapting the boiler for our sustainability needs and investing in laboratory facilities to improve our overall turnaround times and risk management, et cetera, addressing some of the -- where we think the direction of travel is on the semi regulations front to more closely align with China local standards. So we're trying to get ahead of the game there. But in terms of English label production, there's nothing specific that we need to do at the moment. It's more of a longer term plan on CapEx.
Julia M de Sterke: Got you. Okay. And then just secondly, just, I guess, kind of stepping back a little with this acquisition, there's a meaningful shift in investment to China label. I guess, could you just talk about kind of the longer term market dynamics that you're thinking about in terms of English label versus China label and how you're thinking about incremental investment in English label versus China label over kind of the longer term?
David L. Bortolussi: I mean China labels -- I mean, even though our company really grew on the English label cross-border business, and it's a critical part of our business, and we have a higher share there, the China label registered market is absolutely fundamental to our future. So it's 80% of the world's largest infant market, you can't play in that category or that part of the market unless you have registration. So despite the fact that the dynamic is at the moment the pendulum swung in favor of English label, it wasn't that way up until recently. And in any event, China label is going to be a massive part of the market. We have a huge share opportunity gain there, and we'll continue to invest in that. So -- but as I said before, ultimately, whether it's China label or English label, the economics of our business is kind of similar and the utilization of the factory is similar as well. So we're sort of indifferent in that respect, but there's a key focus on China label. It's not as though we're kind of overly investing in one or the other. We're trying to -- we really do a drop day 1 brand, 2 label approach across multiple categories, and we try to get leverage through our business that way. And that's one of the benefits of the a2 business and brand. We've established such a wonderful brand in China and other markets. We've got a great opportunity to leverage that and expand over time.
Operator: There are no further questions at this time. I'll now hand the conference back to Mr. Bortolussi for any closing remarks.
David L. Bortolussi: That's great. Thanks, everybody, for joining us today. It's obviously a really important day with 3 key announcements. So I know we didn't get a chance to spend much time on our FY '25 result, but we're delighted with the results, fantastic result across the business. Obviously, the transactions were really important, big strategic step forward in our supply chain transformation to build a better business. And then thirdly, hopefully demonstrating disciplined capital management in terms of our intent to declare a sustained special dividend over time. So hoping that will be received well by our shareholders, both institutional and retail, and we look forward to catching up on the roadshow for those of you that are scheduled. So anyway, talk soon. Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.